Operator: Good day everyone and welcome to YY's First Quarter 2015 Earnings Conference Call. [Operator Instructions] At this point, I would like to turn the call over to Lili Huang, YY's Investor Relations Director.
Lili Huang: Thank you, operator. Welcome to YY's first quarter 2015 earnings conference call. Before we begin, I would like to point out that, due to a communication glitch this morning, the earnings was released later than usual. We're sorry for the delay. Now, going back to the call. As usual, with us today are Mr. David Xueling Li, CEO of YY, and our CFO Mr. Eric He. Following management's prepared remarks, we'll conduct a Q&A session. Before we begin, I'll refer you to the Safe Harbor Statements in our earnings release, which will also apply to our conference call today as we will make forward-looking statements. Now I would like to turn the conference call over to our CEO, Mr. David Li.
David Xueling Li: Thank you, Lili. Hello everyone and thank you for joining today's call. For the fourth quarter of 2015, we are pleased to announce robust results, especially since this has historically been a seasonally weak quarter. We are confident that this strong momentum in the first quarter will help us to achieve our growth goal for the year. Our online music and entertainment business continued to be the major driver of our growth, accounting for over half of our total revenues. We are pleased to find that the mobile growth momentum we saw in Q4 has continued into the first quarter of 2015. Mobile YY user growth over 71% year over year and now has nearly 34 million monthly active users. In addition, we continue to optimize our mobile payment. [Inaudible] added ability to monetize new features such as video clips of [inaudible] help drive paying user and ARPU growth in the period. Mobile YY paying user and ARPU were up year over year by [inaudible] music and entertainment revenue. [Inaudible] in the last quarter, even though Mobile YY is built in [inaudible] our target goal of contributing [inaudible] of total music and entertainment revenues for the full year of 2015. Now I want to turn to online business, our fastest-growing segment. This business has consistently exceeded our expectations since its inception a year ago, with yet another exceptional quarterly growth of 41%. It now accounts for 11% of our total revenues. We expect that this revenue contribution to the company will continue to raise for the rest of the year, due in part to our focus on developing this business. For example, we launched a mobile version of our online dating business at the end of January in an effort to extend this user base. While it is still too early to discuss in detail, we can see that the app has already begun to show significant promise. The success of the dating business demonstrates not only our ability to identify [inaudible] various needs of our users on the YY platform, but also our ability to monetize [inaudible]. In conclusion [inaudible] initiatives [inaudible] for 2015 [ph] we have [inaudible] about the Company's future and confident that we will continue to [inaudible] and evolve with this ever-changing Internet landscape. With that, I will hand it over to Eric.
Eric He: Thank you, David. Good morning everyone. To start, I would like to talk about a few items before I dive into our financial performance. I'd like to discuss the margin pressure we saw this quarter, followed by an update on our education and game broadcasting business. First, due to stronger-than-expected growth of lower-margin user-generated content business lines, we experienced a shift in our overall revenue mix, which resulted in gross margin decline to 42%. For 2015 we expected our gross margin to stabilize in the low 40s. The fast growth was derived from strengthened demand for our music and entertainment, online dating and other user-generated IVAS business lines. In addition, as mentioned last quarter, the increase in investment in our game broadcasting business to sponsorship fees and bandwidth costs also weighted on our gross margin. The impact of these can be found in segmental report at the end of financial statements. Moreover, to compete effectively, we restructured our operating teams for game broadcasting business, and we expect to see strengthening performance for the rest of 2015. This, coupled with increased operating efficiency, will allow our profit margin to improve as we progress throughout the year. Moving on, as you are all aware, last quarter we made two education related acquisitions in order to expand our student user base, by expanding our educational content offering. We have integrated these two business into our education platform 100.com. And combined, these business have contributed roughly RMB20 million in revenue this quarter. Even though the education business is currently operating at a loss, monetization has only just begun. As this business line comes more integrated, we will begin to benefit from increased operating leverage for the rest of the year. Next, I would like to talk about our game broadcasting business. In the fourth quarter of 2014, we made a decision to restructure the operating team of this business. Similar to education, we expect a transitional period both in terms of operating and strategic changes that are taking place. The new team has already begun making innovative, engaging improvement to the platform, such as introducing quiz functions, doing live broadcasting to increase user time spent and to encourage user participation. These interactive improvements enable users to easily submit comments on the mobile app and engage user to share, replay videos with one another. So far in 2015, we are already beginning to see the benefits of this restructuring as user growth has begun to reaccelerate. And we expect revenue to start improving in the second quarter of this year. We look forward to many more innovative and creative ideas from our teams and expect better results from this group in 2015. One last item I want to point out is that, thus far, in 2015, the Company has repurchased approximately $170 million worth of shares at average price of $54.82. All repurchased ADSs were newly retired. With the additional $100 million buyback mandate from our Board last Friday, we still have approximately $130 million left for repurchase program. I also wanted to add, this quarter we broke our segmental financials for our online game broadcasting and education businesses, in an effort to provide greater transparency. You can find the information in -- on the Other segment report at the end of our earnings press release. Now I would like to move on to our quarterly financial details. Before I get started presenting our financial numbers, I would like to clarify that all the financial numbers we are presenting today are in renminbi amounts and percentage changes are year-over-year comparison, unless otherwise noted. Net revenue for the first quarter 2015 increased by 73% to RMB1.15 billion. This increase was primarily driven by an increase in IVAS revenue. IVAS revenues increased by 73% to RMB1.11 billion. The overall increase primarily reflected increase in the number of paying users and expanding paying ratios. Let's look at each of our IVAS business lines more specifically. Revenue for online music and entertainment increased by 54% to RMB590 million. This increase primarily reflected a 58% increase in the number of paying users to RMB1.6 million, as well as a 2% decrease in the ARPU to RMB372 during the first quarter 2015. Revenue from online games increased by 29% to RMB232 million. This increase primarily reflected a 4% increase in the number of paying users to 477,000 and an increase in ARPU of 24% to RMB486. Also the number of online games increased to 229 as of March 31st, 2015, from 139 a year ago. Revenue for online dating increased by 1,699% to RMB132 million. This increase primarily reflected a 433% increase in the number of paying users to 192,000 and an increase in ARPU of 237% to RMB687. Revenue from Others increased by 122% to RMB157 million. This includes revenue from online game broadcasting which increased by 133% to RMB55 million, and revenue from membership program which increased by 42% to RMB62 million. The revenue increase in membership program primarily reflected a 25% increase in the number in members to 1,062,000 as of March 31st, 2015. Other revenues, which mainly include our online education platform and online advertising platform, were RMB39 million in the first quarter 2015, compared to RMB24 million in the corresponding period of 2014. This increase was primarily due to revenue contribution from the newly acquired education business. Cost of revenue increased to RMB673 million. This was primarily attributable to an increase in revenue sharing fee and content cost which increased to RMB412 million this quarter from RMB179 million last year. This increase included revenue sharing fee and content cost to performers, channel owners and content providers, and was primarily due to higher level of user engagement and spending, and increasing categories of emerging new business lines. In addition, bandwidth cost increased to RMB130 million, representing 11% of revenue, due to providing better-quality broadcasting streams to our online game broadcasting users and utilizing higher-resolution videos. Gross profit increased by 37% to RMB478 million. Gross margin was 42%, compared with 52% in the corresponding period 2014. The decrease in gross margin was mainly attributable to the changes in our business mix to more user-generated content business lines, which includes our music, entertainment and online dating business, and increased bandwidth costs and sponsorship fees related to online game broadcasting. Our non-GAAP operating income increased 21% to RMB276 million. Non-GAAP operating margin decreased to 24% as compared to 34% in the corresponding period last year, primarily driven by decrease in gross margin for the reason listed above. GAAP net income attributable to YY increased 24% to RMB227 million, from RMB184 million. GAAP net margin decreased to 20% from 28% in the same quarter last year. Non-GAAP net income attributable to YY increased by 25% to RMB259 million, while non-GAAP net income decreased to 23% from 31% in the same period last year. Diluted net income per ADS increased to RMB3.83 or $0.62, from RMB3.06 in the same quarter last year. Non-GAAP diluted net income per ADS increased to RMB4.36 or $0.70, from RMB3.46 in the corresponding period of 2014. For the second quarter 2015, we currently expect our net revenue to be between RMB1.27 billion and RMB1.29 billion, representing year-over-year growth of approximately 51% to 53%. This concludes our prepared remarks for today. Operator, we are now ready to take some questions.
Operator: Thank you. [Operator Instructions] Your first question today comes from the line of Alicia Yap from Barclays. Alicia, please go ahead.
Alicia Yap - Barclays: Hi. Can you hear me?
Eric He: Yes, we can.
Alicia Yap - Barclays: Okay. Hi, good morning, David and Eric and Lili. Thanks for taking my questions. I have a couple of quick questions. Number one is that on the competitive landscape on the game broadcasting, can you actually update us on that front? And then related to that, is that, how much of the RMB700 million that you budgeted to spend for the game broadcasting this year that you already spent in the first quarter?
Eric He: The game broadcasting business, as we mentioned it, is -- the competition is pretty keen. So we have done a couple of things to cope with it. We mentioned that, at the end of last year, we'll restructure our team. And now, with the new team, we have seen quite a lot of innovative improvement, as mentioned in our prepared remarks. I think the competition is still there. However, we believe we are improving our business line. In terms of $700 million spent for the entire year, I think if you look at our separated segment or reports, you'll be able to see that, for the first quarter, we have roughly booked RMB70 million -- RMB90 million -- roughly RMB90 million loss. Because if you, you know, use $700 million for the whole year, and we mentioned it that our expected revenue from the game broadcasting business is roughly $300 million, essentially that's going to be $400 million loss, if you divide it by four. So the first quarter is approximately pretty much on track. However, I do want to actually communicate with everyone that, as I mentioned it, we feel that our game broadcasting business is improving. So we expect that the future loss should be narrowing for the rest of the year.
Alicia Yap - Barclays: I see. Great. Can I ask a second question, which is on your 2Q guidance? So, how should we think about each business line growth for the quarter? For example, the online dating and the music growth? And were you being conservative on your second quarter or was this because of actually it's a difficult year-over-year comp? Thank you.
Eric He: Well, I think for the second quarter guidance, as we mentioned it, that this number is pretty much on track with, you know, the consensus. The consensus for the second quarter on a year-over-year basis is about growth of 50% plus growth rate. And what we try to guide our investor is that we are pretty much on track to deliver that. But, you know, we have various lines of business. We have music, we have games, we have other dating business. Some business may perform a little -- may perform a little better or grow a little faster than the others. For example, our game business, as we mentioned it before, that we expect game revenue should be growing in the range of 20% to 30% throughout the year. And on the other hand, our dating business is definitely growing much more than 50% year-over-year basis. Our music business, we are expecting that it should be growing along the line with the entire revenue. So with all this, you know, anticipation, I think, you know, our second quarter's revenue number is pretty much on track.
Alicia Yap - Barclays: Okay, great. Thank you.
Operator: Your next question today comes from the line of Natalie Wu from CICC. Natalie, please go ahead.
Natalie Wu - CICC: Hi. Good morning, David, Eric, Lili and Anna [ph]. Thanks very much for taking my question. I have two questions if I may. The first is, you mentioned in your opening remarks that Mobile YY MAU reached nearly 34 million in the first quarter. Can you give us some color on the latest MAU of YY platform and how much is coming from client YY and web YY. And also you mentioned the revenue contribution from Mobile YY, so, can we know the -- some color on the mobile contribution from Huya broadcasting? And the second is the ARPU of online dating seems to be very high. Wondering if it is a normal level or seasonal effect also played some part in it. Thank you.
Eric He: Okay. Well, you asked a lot of questions. But anyway, I try to give you the answer. If I miss anything, please remind me. I think for first quarter, our overall platform MAU is 117 million. This number is pretty much similar to the numbers in the fourth quarter. But we have to remember that the first quarter is traditionally a weak season, as David mentioned it, and fourth quarter is the strongest quarter in a year. So we believe that first quarter we can achieve the same amount of MAU as we did in the fourth quarter last year itself is achievement. You know, if we break it down, this number, we will see that our mobile MAU is the one grow the fastest. From the fourth quarter's 30 million MAU on mobile, now in the first quarter it's 34 million. And for our web MAU, in the fourth quarter it was roughly 44 million and now in first quarter it was 43 million. So it dipped a little bit but not that much differences. In our client PC MAU, it was 50 million in the first quarter, but in the fourth quarter was about 53 million. If you add those numbers all together, you will get a number greater than 170 million. And then that is the overlap -- the overlap users. We have to take that away. So, basically, I think we have seen that the first quarter, our business had been growing at a very healthy mode, despite the fact that the first quarter is the weakest quarter of the year, but we see our mobile business continue to grow. We see, you know, this trend will continue for the rest of the year. Then you asked about Huya Mobile's revenue contribution, I think at this point of time, Huya Mobile has just started to operate, so we do not actually have the number to share with you at this moment. And you also mentioned that -- you also asked a question about the ARPU numbers for our dating business. Yes, dating business ARPU in the first quarter was more than RMB600, which is higher than our expectation. Well, I think this is probably not a big surprise because you know our dating is providing a very popular dating show. And people who are on the stage, in the show, they pretty much want to, you know, being driven by their sense of prestige and sense of participation. So they have inclination to pay more. So, another day you will see the ARPU reflects the fact. However, I want to point out, is that our dating team or our dating operation does not actually put a focus on increasing their ARPU. This ARPU increase is very normal, natural courses of the business operations. In fact, in the future quarters you may see the ARPU up and down by their operation strategies, meaning that, as we can see, that they're launching their mobile apps, usually people will spend less on the mobile apps. I think that may be a possibility for dating to see that the ARPU will decrease or stabilizing at this time. I think I just want to point out the ARPU of dating business at this moment is a very natural operation result. It's not something that they are trying to, you know, raise the ARPU numbers.
Natalie Wu - CICC: Okay. Thank you very much, Eric.
Operator: Your next question today comes from the line of Yu-Heng Fan from China Renaissance. Yu Heng --
Yu-Heng Fan - China Renaissance: Hi, good morning. Thanks for taking my questions. My first question is regarding your cost of revenue for the Huya.com. I wonder if you can separate the content cost and bandwidth cost for your RMB124 million cost of revenue for Huya.com. Thank you.
Eric He: I don't think, you know, for this call purpose -- we can perhaps do it in the future, because this is after the discussion with our auditors [ph]. So right now we're lumping those two numbers together as a cost of revenue. I would say that most of the cost of Huya services contains content cost, the sponsorship fees, and the broadband, you know, bandwidth costs. I think we can do that breakdown later in the future and share with the investors.
Yu-Heng Fan - China Renaissance: Okay. Thank you. And my second question is actually a follow-up on the market dynamic for the online game, broadcast game. Other than the sitting player like Daoyu TV [ph], we're also seeing some transition on live video play from like Youku, they are also launching their online game broadcasting. I wonder, from your perspective, how do you see those newcomers in this space? Thank you.
Eric He: Well, I think the more the competitors coming into the market means this pie is big enough. So in some way it's a good sign. I think, you know, in order to make a great business, actually have to have a very vibrant ecosystem. We believe that on YY platform we have built a very formidable, you know, ecosystem for various business, including game broadcasting business. I think last year, even that we have seen the competition becomes more fierce, but we have not seen that we lose too much of users on YY platform itself. In fact, what we have seen was, because that game broadcasting videos are one of the favorite videos by internet users, so we did not actually attract enough users from outside of YY users who like the game broadcasting videos. So that's the part that we need to beef up. So I think this year that will be our focal point.
Yu-Heng Fan - China Renaissance: Thank you. One last housekeeping if I may. What was the CapEx you made in first quarter and how will that impact to your future depreciation? Thank you.
Eric He: Well, for the CapEx, I don't think that first quarter we have any particular big CapEx. Most of the capital expenditures will be spent on servers and the building improvements. I think the first quarter was quite normal. I don't have the number right off my hand, but I can come up with that number later with you. But I just want to let you know that that number is quite normal; it's not big enough.
Yu-Heng Fan - China Renaissance: Okay, great. Thank you very much.
Operator: Your next question today comes from the line of Vivian Hao from Deutsche Bank. Vivian, please go ahead.
Vivian Hao - Deutsche Bank: Hi, Eric, David. Thank you for taking my question. I have two questions here. First of all, can you let us know, what is the discount of your mobile ARPU relative to your PC ARPU? Any particular patterns of mobile paying users that you have observed so far? And second question is regarding, as for the revenue sharing scheme. I think, Eric, you mentioned in the previous quarter that it's pretty similar across all business lines. Is this still the same case, or it's quite different for maybe some -- like business units like game broadcasting and education? Thank you.
Eric He: Yes. The first -- your question is regarding the mobile business. I believe that our mobile business continue to improve in the first quarter. As the specific question you are asking is ARPU numbers. The ARPU of mobile users in the fourth quarter was roughly one-third of PC users. But when it comes to the first quarter 2015, we improved to roughly half of the PC users. I can give you another so that you can verify this. The mobile revenue -- mobile revenue as a percentage of total revenue in our music business in the first quarter was 24%, up from 14% from the fourth quarter. And our paying users as a percentage, paying users of the total paying users in our music business, it was 48% in the first quarter 2015, was up from 40% fourth quarter 2014. So those two numbers if you compare, you'll know what I mean. So our ARPU of mobile users continue to improve. And the paying user number itself actually has a gigantic increase. On a Q-over-Q basis, it was up 29%, from the fourth quarter to the first quarter of this year. On a year-over-year basis, it tripled. So I would say that our mobile business continued to improve greatly. In terms of revenue sharing percentage, as a platform, we need to be fair to every business line. Not only that we need to treat every user and channel owner and guild at the same basis. So, no matter that you are a guild leader or the channel owner, in our music business, in our game broadcasting business, or in dating business, all the revenue sharing percentage is approximately the same. Sometimes we may run some kind of promotional subsidies in specific business when they are still young. But as we already noticed that the dating business, it was the first year last year, but it has grown so much and become 11% of the total revenue, as David mentioned it. So I think those subsidies are going away. So I would say that, yes, correct, revenue sharing percentage and ratios is very much the same for different line of business in our top line.
Vivian Hao - Deutsche Bank: Thank you. This is very helpful.
Operator: Your next question today comes from the line of Alex Yao from JPMorgan. Alex, please go ahead.
Alex Yao - JPMorgan: Hey. Good morning everyone. Thank you for taking my question. I have a question on the longer-term competitive landscape in your new initiatives, i.e. the game broadcasting and online dating business. Given the current competitive situation and your competitive advantage and disadvantage, do you think three years down the road these two business in China will become winner-takes-all type of market or do you think that this is more like a content-driven, reasonably consolidated but still with a few sizable players market structure in three years' time? Thank you.
Eric He: Well, this very long-term strategic question that, Alex, you ask. In three years' time, I wish I have the visions to know what's going to happen. But I would try to answer your questions. Maybe will add a little more later on. Let me try to give a shot. You know, for game broadcasting business, to YY, it's very integral part of our platform service. As you know that YY derived or we actually was originated from gaming populations. So this is a very important part of our services. So that's why we actually spend some money to enrich the content of our platform, and also satisfy the needs of our users. So we, as I mentioned before, that you end up with a very fierce and keen competition from 2014 all the way to 2015. We haven't seen our user base on our game broadcasting business to reduce. In fact, our problem was we didn't gain fast enough, the new users from outside of YY, I think that will be the focal point for us to perform in this year. In three years' time, we will see that the power of the platform, the power of the products and the power of the ecosystem will become dominant, because those three have to be together. Otherwise, you will not have a so-called closed loop, so the user will not stay on your platform. So we -- that's why we need to strengthen every part of it: products, content and our platform. So that's our goal for our game broadcasting business. On our dating business, I think once again the dating business that we have is a little bit different from the traditional dating services. In fact, the service that we have is a dating show. Once again we are pioneering this business. We once again believe that the products -- that the platform itself and user experience are a very important part of the business. So we are trying to, you know, put a focus on those areas. But when it comes to the dating business, we continue to believe that this could be great services for the mobile applications. That's why we are launching our mobile apps for dating business. And we believe that if we can successfully integrate some of the social networks functionalities onto our dating shows, this product can become a great product. And the platform has lots of opportunities down the road in the future.
David Xueling Li: [Chinese language spoken]
Eric He: Well, I would like to translate what David says. I think the core of YY platform or the core of the YY service is we had built many communities. We have the game community, we have music community, we have dating community, we have entertainment community. So when it comes to communities, there are a lot of relationship or connections in these communities. So, community itself, it's difficult to have the big one takes all, this kind of effect, just like Alex mentioned. For example, in the West, we see Facebook, we also see Twitter, we also see LinkedIn, for different purpose, for different applications, for different users. They all -- they will use different type of apps or different type of services. So we believe that for the community-driven platform, the competition will be always there. It could be actually in different platforms such as PC will have big ones, web could have a different one, and mobile or app market will have a different one. So, because of the community has barriers, relationships and connections, which will result in coexistence of many different dominant players. That's what David wants to convey.
Alex Yao - JPMorgan: [Chinese language spoken] I'll do the translation myself. Thank you, Eric and David. Can I follow up with a web question? In the past two years or so, you guys have been extending the community and social platform through various contents such as game broadcasting and online dating. Does that mean YY will become increasingly more heavy on the content side? And how do you balance the social community, the virality and content? Thank you.
David Xueling Li: [Chinese language spoken]
Eric He: Yes. I would like to translate what David mentioned. I think just like Alex says, over the last couple of years we have seen that the content on YY platform has evolved, has improved, and becomes multi-facet, and becomes very rich. And we believe that enhance the quality of the content, it's very, very important. And that's the direction we are trying to do. But we also want to point out that enhance the quality of the content actually is with the help of our channel owners or guild leaders, because those guys are running a business on YY platform, and they have incentive, they have very strong will, wants to improve their business, so that they actually push or they actually recruit more better-quality performers come to our platform. So that actually help us to enhance the quality of our content. On the other hand, because of the improvement of YY's quality, we also been seen by the outsiders. Outside of YY a lot of people see that, oh, YY is becoming a more influential platform. So, more and more good content would like to come in. For example, we have seen that a lot of talent agents since last year, they're already joining on YY platform. Or there are a lot of different type of performance groups, they want to join us. And even some of the, you know, famous actors or singers, they want to join us. Because of their participation, that will actually inspire even more good content to be generated on our platform. So at the end of the day, if those two forces become more and more interactive, then we will see that our content will be accepted by more of our users in the mainstream. So that's our direction and that's what we are aiming for.
Alex Yao - JPMorgan: Very helpful. Thank you, David; thank you, Eric.
Operator: Your next question today comes from the line of Jialong Shi from Credit Suisse. Jialong, please go ahead.
Jialong Shi - Credit Suisse: Hi. Good morning, David, Eric and Lili. Thanks for taking my call. I have two follow-ups. The first is about the game broadcasting business, and I think Eric mentioned earlier on the call, you now expect the loss for game broadcasting -- the net loss for game broadcasting business to be narrowing for the rest of the year, which could suggest the full-year loss should be lower than your original guidance of RMB400 [ph]. So I just wonder what are the drivers for that. Is it because of faster game broadcasting revenue growth or because more disciplined spending on this business?
Eric He: Well, as I mentioned it, that the main driver for our game broadcasting business is very strong ecosystem on YY platform. As I mentioned it, even that we face very fierce, very keen competition from last year, we are actually seeing our game broadcasting users on YY platform not reducing. We are maintaining a very good pool of user base on our platform. I think what I mentioned it, is that we need to focus on beef up to attract even more users who like game broadcasting videos and joining YY. That's the part that we lack doing last year. So I think that the reason that I expect that the loss will be narrowing is because I think our revenue will pick up a little better or faster than our originally expected.
Jialong Shi - Credit Suisse: Thank you. That's very clear. And also the second follow-up is about the management comment in the prepared remarks, and I think you guys recently restructured the operation team for game broadcasting business. So I just wonder what were the issue with your original team that have triggered this restructuring.
Eric He: Well, as I mentioned it, that we actually had a very, very good platform, we have lot of users, but unfortunately we failed to attract people who like game broadcasting services outside of YY. And I think that's the missing link. So we tried to actually strengthen this missing link, that's why we have another team to help us to do this. So far in 2015 we have seen actually many innovative strategy and movement which prompt me to believe that the game broadcasting business is improving.
Jialong Shi - Credit Suisse: Thank you, thank you.
Lili Huang: I think -- sorry, Jialong, just on top of that I would like to add, perhaps we should look at the game broadcasting as a startup, because in effect, quite often that when business have a startup -- well, in a startup business, that they always try different methods and try different approaches. And so this is exactly what we're doing. If something is not working, then, you know, we try something else. And so as you see, the Google changed their Google Glass team and perhaps it's the same sort of synergy.
Jialong Shi - Credit Suisse: Thank you for the color. Actually can I ask the last follow-up question? Eric just mentioned, for the game broadcasting business, you guys try to attract user from the ex YY platform instead of try to grab audience from your existing applications. So I just wonder, for your online dating business, how many of the audience were from the ex YY platform, how many of them were from within the YY platform?
Eric He: I think Jialong, you misunderstood what I mean. What I mean is we see game broadcasting business has a lot of follower, has a lot of users. On YY platform itself, we have already a large sum of users using game broadcasting business, as you know that we are the early pioneer of this business. But we have found out or what we missed was that, outside of YY platform, there are a lot of even more game broadcasting lovers who actually didn't choose YY as their first choice. And so that's the part that we missed. So we believe that that's the part we're going to beef up. At this point of time, it's difficult to distinguish who are original YY users, who are not. Because once you log in, once you become our user, there's no way for us to distinguish that when do you join YY or log in as a user. So I think overall, that our strategy moving forward, we already see some positive result. So that's why I said that, starting from second quarter, we shall see some improvement on our game broadcasting business.
Jialong Shi - Credit Suisse: Thank you for the detailed answer, Eric and Lili.
Operator: Your final question today comes from the line of Cheng Cheng from Pacific Crest Securities. Cheng Cheng, please go ahead.
Cheng Cheng - Pacific Crest Securities: Hi. Thank you for the question. Two quick questions. Maybe first on the online dating business, just in terms of paying users. I was wondering if you could provide me or provide us a number in terms of overlap between your music paying users and your online dating paying users.
Eric He: Our online music paying user and online dating paying users overlap very little. We basically see that they are -- I don't have a specific number, but I can give you a rough number, it should be less than 10%, in terms of paying users.
Cheng Cheng - Pacific Crest Securities: Okay --
Eric He: But I don't -- I will check and get back to you.
Cheng Cheng - Pacific Crest Securities: Sure, great. Thank you. Just on the music ARPU, mobile versus PC, I know you guys talked about solid progress from Q4 to Q1. Just thinking about for the rest of the year, you know, where do you expect that to trend? And is there anything specific in terms of promotions or product enhancements that we should look at to drive better ARPU on the mobile side?
Eric He: Yeah. We continue to believe that the trend moving from PC to mobile will continue for the rest of the year. We are seeing that even in the weakest quarter like the first quarter, we see that our mobile users still ramped up very healthily. We believe that, wait until the second quarter and third quarter, we may have some specific product or strategy launch, we will continue to see that the mobile user continue to ramp. So I will point out one thing, that 2015 really is a very important year for YY. We are in a year of the investments. We are in a year of transition. Investment in terms of game broadcasting business. We invest so much money, because that we believe we want to even apply more users onto our platform. We are in a year of transition from PC to mobile in our music business, as you know that there's only half ARPU of the mobile user in our music business compared with PC users. So that's why you see that the music business growth momentum seems to be a little bit off than last year's. Last year was more than 100%; this year is only at about 50%. But as long as we can continue and insist on this route, when we grow more users, I think our future is very bright.
Cheng Cheng - Pacific Crest Securities: Great. Thank you.